Operator: Hello, and welcome to Inseego Corp's Fourth Quarter and Full-Year 2019 Financial Results Conference Call. Please note that today's event is being recorded. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity for analysts to ask questions. [Operator Instructions] On the call today are Dan Mondor, Chairman and CEO; Steve Smith, Executive Vice President and Chief Financial Officer; Ashish Sharma, President of IoT & Mobile Solutions; Doug Kahn, Executive Vice President of Operations and Customer Success; Wendy Caceres, Chief Marketing Officer and Head of Investor Relations; John Weldon, Senior Vice President of Enterprise SaaS Solutions. During this call, non-GAAP financial measures will be discussed. A reconciliation to the most directly comparable GAAP financial measures is included in the earnings release, which is available on the Investors section of the Company's website. An audio replay of this call will also be archived there. Please also be advised that today's discussion will contain forward-looking statements. These forward-looking statements are not historical facts, but rather are based on the Company's current expectations and beliefs. For a discussion on factors that could cause actual results to differ materially from expectations, please refer to the risk factors described in our Form 10-K, 10-Q and other SEC filings, which are available on our website. Please also refer to the cautionary note regarding forward-looking statements section contained in today's press release. I would now like to turn the call over to Dan Mondor, Chairman and CEO. Please go ahead.
Dan Mondor: Thank you. Hello, everyone. It's great to be with you today. 2019 was a year of historic progress for Inseego. We moved 5G technology out of the lab and into commercial deployment and recognized nearly $11 million in 5G revenue. In 2019, consolidated revenue exceeded $219 million, despite foreign exchange headwinds and a change in subsidies for a flagship LTE hotspot which significantly impacted the fourth quarter. Our IoT & Mobile Solutions business generated $154 million in revenue, growing 14% year-over-year, and our Enterprise SaaS business generated $65 million, the increase of 3% from 2018 on a constant currency basis. On Tuesday, we announced a $25 million investment from Mubadala Capital, an Abu Dhabi based sovereign investor. Mubadala joins existing major investors Tavistock Group and North Sound Partners. This investment strengthens Inseego's balance sheet and provides the company additional liquidity to continue capitalizing on the unprecedented global opportunity that 5G presents. Further actions have been taken to strengthen our balance sheet, eliminate near-term debt maturities and reduced cash interest payments. Steve will cover the balance sheet improvements in his remarks. So let's start with some comments on our IoT & Mobile Solutions business. We launched our first-generation 5G products last July. And in the fourth quarter and at CES in January, we previewed our second-generation 5G portfolio in private customer briefings, and these products were enthusiastically received. I am pleased to announce that in calendar year 2019, Inseego signed 5G product agreements with leading operators in North America, Europe, the Middle East and Asia Pacific. These agreements include wins for our new fixed wireless access products and for our mobile broadband hotspot products, exceeding our target for the year. We are laser-focused on converting these 2019 wins into successful commercial launches this year. We are seeing 5G network rollouts ramping up much faster than 4G at this stage in their respective deployments. We have first half evidence of this with volume RFPs we've responded to and those in process. We are engaged in 20 trials with mobile network operators in key regions worldwide. 4G was all about killer apps from smartphones. 5G is about killer used cases with purpose-built devices which is our focus. We are working with partners to create innovative network edge solutions for enterprise applications. The fixed wireless access market or FWA will see accelerating growth in the second half of 2020 as more wireless operators to introduce high-speed 5G broadband services for homes and businesses competing with cable providers. About 60% of all 5G launches today – to date are for fixed wireless access. This is a large greenfield opportunity for wireless operators and CPE providers like Inseego. The mobile broadband market for 5G hotspot is expected to grow significantly due to the massive capacity afforded by 5G networks and spectrum and is evidenced by the demand we are seeing from our customers. Our first-to-market position in 2019 has given us valuable insights that we are incorporating into the design and development of our second-generation 5G portfolio. This portfolio includes seven different products for fixed wireless access, mobile broadband and industrial IoT applications, all based on one powerful 5G technology platform. This platform approach is a universal 5G engine that accelerates our time to market, amortizes our R&D costs to drive operating efficiency and enables global scalability. Inseego has earned a reputation for highly reliable and secure products that are designed and developed in the USA. In side-by-side comparisons with the competition, Inseego 5G products consistently produce superior 5G throughput speeds and real-world testing, and we have achieved seamless interoperability with all five of the largest mobile infrastructure suppliers. In addition to working closely with service providers, we are continuing to add strategic partners in several key markets, where we are targeting large enterprise customers. 2020 will usher the first nation 4G and 5G private networks, many of which will be deployed in CBRS and FirstNet spectrum. Private network growth is being sparked by the availability of new CBR spectrum licenses and markets nationwide. And we are collaborating with companies like Ruckus in this important market. We are gaining traction in the SD WAN market through our collaboration with several SD WAN leaders, including VeloCloud by VMware. And our sales and marketing teams are now actively engaged with VeloCloud to jointly bring our solutions to market. Turning to our Enterprise SaaS business. Our focus last year was turning around the Ctrack business in key markets. Ctrack saw significant improvement in year-over-year unit bookings in every geography with South Africa, up 39%, Australia and New Zealand, up 60%, Germany, up 63%, UK, up 36%, and Benelux, up 4%. Our new Microsoft Azure cloud-based platform called Pegasus and innovative SMB-focused application, named Clarity, launched this month. Ctrack's Pegasus and Clarity benefit from our 20-plus year of telematics experience in combination with the latest generation of cloud technology which will dramatically improve operating outcomes for connected commercial fleets globally. In the fourth quarter, we also finalized an agreement with a major European logistics carrier to deploy Ctrack for the motorized ground assets worldwide. And our DMS solution for enterprise and government customers continues to be a strategic product that realized year-over-year revenue increase of 33%. Now I want to touch on two important new initiatives that we feel are important to the future of the company. As you've heard us say, given our technology lead, we imagine a world with millions perhaps billions of secure 5G edge devices to all connected networks, whether it be a carriers network, our corporate network or government networks. The first effort was the creation of an advanced technology group which is focused on developing proof-of-concepts to create differentiated, high-value solutions by providing intelligence at the network's edge. We wanted single technology at the heart of every device connected to the 5G network, and this group is charged with developing the partnerships, used cases and go-to-market strategies to deliver on that promise. Here are a few recent examples. At the CES Show, we worked with the New York Stock Exchange listed automotive technology company, called Veoneer, to successfully demonstrate a 5G connected car that used our 5G MiFi M1000 global hotspot to deliver real-time thermal imaging streaming for cars and low visibility conditions such as dense fog. We are also enabling developers of augmented reality smart classes for the manufacturing industry to provide connected solutions that greatly improve the productivity for workers in the factory and when performing complex tasks in the field. We see mobile edge computing as the foundation for a wide range of use cases, and enterprise applications will particularly benefit from real-time [indiscernible] 5G which we recently showcased with NVIDIA. In December, Inseego's 5G MiFi hotspot provided high-definition video streaming live from the red carpet of the Star Wars Movie Premiere. Together with Verizon, Ericsson and Disney, we demonstrated how 5G can transform the way live content is created, distributed and consumed. The second important initiative we've embarked upon is to deepen our relationships within the U.S. government to increase the visibility of our 5G technology and highlight the importance of Inseego in the domestic and international 5G ecosystem. Clearly, the administration has a policy priority to make the U.S. leader in 5G technology and secure wireless networks, not only at home, but abroad. Inseego's technology is designed and developed in the U.S. and deliver secure and high reliability at the edge of the network. It is clear to us after our meetings in Washington, D.C. that Inseego occupies the unique position, not only to win government contracts, but to help shape and develop a national 5G strategy to keep the U.S. at the forefront of this next-generation technology. I am very pleased to congratulate Ashish Sharma on his recent promotion to President of the IoT & Mobile Solutions business. In addition, we recently announced several key executive appointments to support our expanding product portfolio and global market opportunities in 5G. These are proven leaders with international experience and advanced technology, engineering, product management, marketing, human resources and legal. With this world-class team in place, we are exceptionally well positioned for growth. Now with that, I'll turn the call over to Steve to discuss our financial results.
Stephen Smith: Thanks Dan, and good afternoon, everyone. As Dan highlighted, we've made tremendous progress over the past 12 months. We've won new business with existing and many new domestic and international service providers. And we've distinguished ourselves as a key player in the 5G ecosystem. 5G products will be the top growth drivers for Inseego in the future. Before getting into the details of the quarter and the full-year, I am going to draw your attention to some very important recent achievements, specifically around the balance sheet. To take advantage of the opportunities that are presented to us by 5G, we significantly strengthened our balance sheet. There are four major components to this. First has been to reduce our overall level of debt. We've accomplished this by converting approximately $60 million of the $105 million of our convertible debt to equity. In addition, we have eliminated a number of restricted covenants that limited our flexibility. Second, we have amended our $47.5 million term loan, so that the interest payments will no longer be made in cash, but through shares of preferred stock. Thirdly, also related to the term loan, we agreed with the lender to extend the term loan from a maturity of August 2020 to March of 2021. As a result of the above actions, both debt instruments have been reclassified to long-term on the balance sheet. And we've eliminated the cash interest payments by approximately $7.8 million annually. And lastly, we announced yesterday the $25 million investment by Mubadala Capital. This substantially bolsters our cash position, and we expect that this gives us the runway to positive capital. 2019 total year revenue was $219 million, 8.4% better than 2018. Q4 revenue was $52.3 million, broken down by business units as follows. Total year IoT & Mobile Solutions revenue was just over $154 million, up 14% from 2018, illustrating the underlying strength of the business as a growth driver. The decline from Q3 to Q4 was expected and was a result of the promotional change by Verizon on our MiFi 8800 that we highlighted last quarter. We noticed several times during the year that the bookings growth leading indicator was pointing to successful Ctrack turnaround in key regions such as South Africa and Australia. In Q4, Enterprise SaaS Solutions total revenue was $65.3 million, about 3% less than 2018. Expressed in local currencies, Enterprise SaaS revenues grew in aggregate 3% year-over-year. As mentioned, we've seen improvements in this business with a quarter up about 0.5% sequentially and almost 6% year-over-year, despite a challenging foreign exchange environment. From this point forward, I'll focus on non-GAAP measures. A reconciliation from GAAP to non-GAAP is detailed in our earnings release. Last quarter, we stated that we expected an increase in gross margins this quarter. Compared to Q3, mobile gross margins decreased 2.4% from 17.1% to 14.7%, while we are seeing the benefits from the cost reductions we expected from Foxconn which contributed about two points of gross margin improvement in Q4. This is more than offset by the unfavorable impacts of lower margin product mix as we sold larger volumes of 4G devices than expected, expedited freight costs to deliver on late quarter demand and write-downs of excess inventory of components. We still expect gross margins to improve in the coming quarters as we execute on our cost reduction objectives, and we see a mix shift to higher-margin 5G products that we will ship later in 2020. For Enterprise SaaS business, gross margin was 62% for the quarter. Full-year gross margin was essentially flat to 2018 at 63%. The total company gross margin in the fourth quarter was 30.1%, down about 0.70% sequentially. Total year gross margin was 30.6%, down 5.7 points from 2018 due to the increased sales of the lower margin mobile products. Full-year OpEx was $72.4 million compared to $63.8 million from 2018. Substantially all of the increase was for the investments in 5G product development, which includes engineering, testing and certification and sales and marketing efforts globally. We remain focused on profitable growth, targeting top global carriers as well as developing our advanced technology group and U.S. government initiatives to provide growth outside of the carrier segment. Q4 OpEx was $21.8 million, an increase of approximately $2.6 million from last quarter, and an increase of approximately $5.4 million as compared to Q4 2018, a function of the growth initiatives we are pursuing across the board versus last quarter, G&A dropped approximately $200,000, sales and marketing increased $1 million, and R&D expenses increased $1.8 million. Last quarter, we highlighted the Pegasus and ERP/CRM platform rollout. The new Pegasus platform was launched as end users began implementing the platform, along with the new Ctrack Clarity application earlier this week. The ERP systems rollout is already under way in the U.S. with a global rollout and the CRM targeted for completion in Q2. We expect the consolidation and replacement of legacy systems will greatly improve the speed and efficiency of information flow throughout Inseego, allowing each of our business lines to gain improved business insights. Our Q4 net loss is $8 million or $0.10 per share again on a non-GAAP basis compared to a loss of $3.1 million or $0.04 per share last quarter and a decrease of $9.4 million or $0.12 per share from the same period last year. On a full-year basis, 2019 net loss was $16.1 million or $0.21 per share versus a loss of $2.7 million or $0.04 per share in 2018. Our adjusted EBITDA for Q4 was a loss of $1.7 million as compared to positive $4.4 million for Q3 2019 and $5.8 million for Q4 2018. IoT & Mobile Solutions had a pro forma adjusted EBITDA loss of $3.2 million and Enterprise SaaS had a positive pro forma adjusted EBITDA of $4.2 million. On a full-year basis, adjusted EBITDA was positive $7.7 million as compared to $17.6 million in 2018. Now moving to the 2020 outlook. In 2020, our growth, mainly in the second half will be driven by recent 5G win. We had previously said that the first half of 2020 would be reasonably flat to Q4. And we are reaffirming that growth will come in the second half. The only variance we see right now is the recent increase in demand driven by the new work-at-home trend, given this, we are not providing quarterly guidance. Thank you. With that, I'll turn the call back over to Dan.
Dan Mondor: Thanks, Steve. 2019 was a year of tremendous achievement, building the foundation for profitable growth and increasing shareholder value in 2020 and beyond. Our entry into multiple new geographies and our expanded product portfolio requires relentless execution, and the improvements we've made to the balance sheet and reduction in cash interest payments strengthens our ability to capitalize on these global 5G market opportunities. I want to say a few words about the impacts of the coronavirus. We planned for a major presence at Mobile World Congress last month. However, we appreciate the decision by the GSMA organizing body to cancel the show for the right reasons. We immediately got to work in other ways to conduct the schedule meetings with our customers and partners, including extensive use of online meeting systems. We've seen a very gradual recovery of our supply chain in Asia from the coronavirus as factory employees returned to work and production lines ramp up output. Thus far, Inseego has experienced minimal supply chain disruptions and we've taken numerous actions to mitigate possible impacts. We've described how we transferred manufacturing out of China, avoiding exposure to tariffs. And I'm pleased to report our 1 million products will ship this quarter out of Taiwan with our partner Foxconn. Lastly, I want to mention one other aspect of the coronavirus situation. We've seen a sudden increase in demand from several of our carrier and [indiscernible] customers for our products. This increase is driven by many businesses mandating work-from-home policies as a result of the outbreak, and they want MiFi, secure and reliable connectivity for the remote employees. We are working with our contract manufacturer, Foxconn, to fulfill this upside demand. I want to thank all stakeholders in the company, and particularly Inseego employees who are working around the clock to bring groundbreaking 5G solutions to our customers. That concludes my prepared remarks, and I will turn it back to the operator for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Mike Walkley of Canaccord Genuity. Please go ahead.
Michael Walkley: Great. Thanks for taking my question. Just on the VMware. With the increased demand with the work-from-home, how quickly could you ramp up the product and how might this impact the model in terms of both sales and gross margins? Just kind of help us think about this upside demand. Thank you.
Dan Mondor: Yes. Well, thanks, Mike. It's an incoming that's occurred quite recently. We are still getting our arms around it. We have an understanding of the drivers behind it and we have an understanding of the magnitudes. And we are literally working in real-time now with Foxconn to understand the quantities we can supply and at what timeframe we can supply them. But it's a very interesting development. I think everyone understands the reason for it. Obviously, MiFi is the ultimate secure work-from-home product and it's a result of that. So I can't really comment further. It is a very recent development, and the magnitude of which is really something that we're not prepared to discuss at this time. So as we have concrete news to report, we will certainly do so.
Michael Walkley: Okay. Understood. And then just with the Board decision to increase investments for the 5G opportunity, can you just talk about any profitability targets, maybe longer-term or anything on the model that helped us out. I know there's good growth coming, but obviously, different world than different demand trends could happen in the short-term?
Dan Mondor: Well, okay. Great question, obviously. And I'll just go back to the comments we made and with the capital raise for Mubadala, we just announced $25 million. We expect that that will take us to a cash flow positive.
Michael Walkley: Okay, great. That's helpful. Last question for me and I'll pass it on. Congratulations on all of the different design win activity. As you see things today kind of working with your supply chain and X55 availability, does it – everything looks like it's still on track for that second half ramp?
Dan Mondor: Yes, it does in a nutshell. Yes, it does. We're very close to these customers. Of course, we've engaged deeply. We know what their plans are and are adjusting our plans accordingly. But in a nutshell things remain on track. That's our current outlook for, as we discussed in the past.
Michael Walkley: Okay, great. Congrats on the capital raises and best wishes for the year.
Dan Mondor: Thank you, Mike.
Stephen Smith: Thanks Mike.
Operator: Our next question comes from Scott Searle of ROTH Capital. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Hey, first off, just to get some clarification on the gross margins. Steve, it sounds like there's some one-time charges related to freight and write-downs. Could you give us an idea, quantify that for us a little bit, so we know what the normalized gross margin looks like? And then sequentially as we're going into the first quarter and first half of this year, how are you expecting things to directionally trend in the near-term? And then I had a couple of follow-ups.
Stephen Smith: Yes, Scott. This is Steve. So like I said on my prepared remarks, we still had a 2 point increase from cost reductions that were generated from the work we're doing with Foxconn. The rest of it, the takedowns – versus all of the combination of mix and then the one-time charges. But directionally, I do expect we'll continue to see upticks in the gross margin. The cost reductions we have are pretty much prescribed, and we [indiscernible] to all of them that are coming through the balance of the year.
Scott Searle: So Steve, just to clarify then, 200 basis points up on a normalized basis, it would have been closer to 19% versus the 14.7%. Is that the way to think about our starting point?
Stephen Smith: Yes, that would be a good way of looking at it.
Scott Searle: Okay.
Stephen Smith: And again, Scott, that's barring any changes in the mix because we have some lower-margin products. But in general, about two point increase or something.
Scott Searle: Okay. And then in terms of the outlook into the first half, you talked about it – historically, talked about the expectation of it being flattish from the fourth quarter. It wasn't clear to me, if that's still where you were guiding before some of these orders and discussions started around the upside starting to roll in for remote workers right now. So was the baseline, they're still in the ballpark of flattish and then remote opportunities for hotspots is upside. Is that how we should be reading into the comments?
Stephen Smith: Well, the answer to your question is the flattish comments was really before this incoming on incremental demand. And as I said, we're very [recent] – we're modeling it. We're working with our supply chain partners to determine how much we can fulfill, frankly, now before the end of this quarter as well as in the second quarter. So it's a situation that we're studying in real time, and we really can't comment any further because it's a combination of, quite frankly, how much we could fulfill and how fast.
Scott Searle: Got you. But the baseline is still flattish, and that's upside to that.
Stephen Smith: Exactly right.
Dan Mondor: Correct. Yes.
Scott Searle: Okay. Then just looking to the second half and the 5G ramp, you did $11 million with 5G in 2019. I'm sorry, I missed the actual number of signed deals with operators at the end of the year. If you could repeat that? And then just maybe help us understand, how many operators you would expect to be shipping to, given your current visibility into the second half of this year? It sounds like from Mike's earlier question, the X55 remains on track. I'm wondering if you're seeing any issues related to that ramp there? And then kind of how the X60 is going to factor into the design development going forward? Thanks.
Dan Mondor: Yes. Well, Scott, what we said was we signed 5G product agreements for both our fixed wireless and our mobile broadband hotspots. And these were basically regions all around the world. Domestically, Europe, Middle East, Asia Pacific, and we exceeded our target from last year. We've not made further comments on the quantity. We've made the comments previously in our target, but we just basically are saying and stating, we exceeded our targets. So we're very happy about that. And we're moving now on to ensuring we convert these into successful commercial launches. That's our focus.
Scott Searle: Hey, Dan. Is there a number that you would put at a bare minimum for 5G in 2020? Thanks.
Dan Mondor: Well, we're not going to be able to comment on the 5G revenue for 2020 per se, Scott. So it's not a number we're prepared to give at this time. It will be something we'll be reporting upon obviously subsequently as we move through the quarter. But at this point in time, we're not putting out a number for 5G revenue in 2020.
Scott Searle: Okay. Thank you.
Dan Mondor: Welcome. Thanks Scott.
Stephen Smith: Thanks Scott.
Operator: Our next question comes from Lance Vitanza of Cowen. Please go ahead.
Lance Vitanza: Hi guys. Thanks for taking the questions. I wanted to gear to the 20 leading mobile operators in trial. Could you talk a little bit first about how that breaks it out between the wireless in-home broadband products versus mobile WiFi hotspots and consumer versus enterprise and so forth or is it typically the case that when you say you're trialing with a mobile operator that you're trialing multiple products and applications?
Dan Mondor: Yes. Well, it's great. Thanks, Lance for the question. It is a combination of our fixed wireless products and our mobile products. I made a comment earlier about seeing the – more or less macro, but 60% of the 5G deployments, thus far our fixed wireless access. So it's kind of 60/40. So we're seeing a combination of those two. Some carriers are trialing one product. Some carriers are traveling multiple products. So it's a blend. But as we work through, and I think last time we reported, I think it was 15 or 16 trial around this. So we've gone up from that point to 20. And the metric that we look at is number of all subscribers that these operators represent, and that figure is moving up nicely corresponding as you can imagine.
Lance Vitanza: Well, in fact that was going to be my next question. Can you talk about like on average or in the aggregate, how many subscribers these 20 carriers represent?
Dan Mondor: We're in the $650 million to $700 million range.
Lance Vitanza: Okay. And then – and how long do these trials tend to run? And what kind of hit rate should we be thinking about in terms of getting the product agreements and then ultimately, the commercial launches? And if you don't feel comfortable putting out a number out there, can you at least maybe talk about last go-around when you rolled out 4G products? How many global carriers did you trial to get to the relatively limited number of commercial launches that you had 10 years ago?
Dan Mondor: Well, I guess I can probably comment on that kind of succinctly. The company really was squarely focused on Verizon. So the breadth and the depth of the operators was not that – really that wide. And so it was really the situation we're trying to change which is that of customer concentration to a broader range of customers, product concentration to a broader range of products and certainly, North American-centric, U.S. centric to a broader range of geographies. It's a completely different dynamic. But with the 20 trials, typically, when an operator is investing and engaged in the trial, providing that you improve your products performance and robustness and reliability to fall successfully. It generally converts to a deal. Does it always happen? Though it doesn't always happen, but it's really dependent on how we perform. And we're certainly focused on performing well. The robustness of our first-generation 5G product, the M1000 has really given us a leg up. It's basically saying, we know how to make a robust multi-gigabit product, reliable, high-quality and it's really helped us – helped our credibility frankly on our second generation. So that's a factor frankly as you go into these trials, there is a proof point.
Lance Vitanza: And when you talked – I heard you talk about the factors that are sort of driving your success there? And you mentioned the technology solution that you have. You mentioned reliability, you mentioned you're establishing yourselves as the sort of the non-China vendor, you didn't mention price or cost. And I'm wondering if that was a intentional omission or is that just one that is also part of the equation that maybe matters a little bit less or to some extent?
Dan Mondor: Well, it was an omission because we don't discuss the size of contracts with a particular customer nor do we discuss the price – the commercial terms and price points for the customer. We don't disclose that information for lots of obvious reasons. So it's just not something that we will comment on. We haven't commented in the past, and we're not going to discuss commercial terms because that's a confidentiality between us and our customers.
Lance Vitanza: No, I understand that. I'm just saying, as you enter into trials, is the eventual price point part of the conversation? And how competitive are those or how competitive or non-competitive is that as a factor?
Dan Mondor: Those are part of the conversation to move forward, kind of in the on-boarding process that they do of course, yes, pricing is a conversation. It's of course a competitive market. We do not try to compete on price. We are a premium supplier. And the other element of – I will say right now, relative to some of the comments I made in our views in Washington, D.C., but a secure 5G Edge is becoming increasingly important, and you know the legacy in the history of putting all the security measures that we do in our products. And it's a 45 minute conversation about encryption security, no hard quarter password, no back doors, – all this sort of stuff. So that's becoming extremely important. And the conversation on secure 5G Core has now moved to secure 5G Edge. So it doesn't help to have a secure highway, if you don't have secure on-ramps. And that's really a conversation that we've taken forward quite recently to various parts of the administration and agencies in Washington, and that of course is what they are communicating to the international or the international partners. So what I'm trying to get at there is security is extremely important, and we are not competing on consumer grade because we don't have consumer grade. We have highly secure robust products. So that is the high-end of the market.
Lance Vitanza: That's great. That answers my question. Thank you so much.
Dan Mondor: Thank you, Lance.
Operator: Our next question comes from Mike Latimore of Northland Capital Markets. Please go ahead.
Michael Latimore: Great. Yes, thanks. I guess on this kind of recent demand around teleworkers. Is the conversation about we need more of your 4G product now or is it we need 4G now, and we also are probably going to be increasing our 5G orders later? Like how are those conversations going?
Dan Mondor: Yes. Well, the incoming is in the hear-it-now context, Mike, as you might imagine. So it is the current generation of products. We obviously have a first-generation 5G product, but it is in that category, currently. It would be second on my part to know whether that will carry over to the 5G products. I could only imagine if the work-at-home movement were to continue. It would, but there again that – I would be speculating.
Michael Latimore: Got it. And then it seems in certain verticals, there's a lot of verticals, there's less travel going on, maybe less like you said, conferences, does that have any impact on your sales cycles or can you kind of overcome that with these online meetings?
Dan Mondor: It really hasn't because I think everyone's coming to grips with kind of the new way to work. And so we immediately shifted course of actions too, not necessarily just remote meetings, but did a combination of on-site customers. It's naturally a collections point at these conferences that everyone comes. So it's a convenience factor. So we did travel to see customers at their locations. And we are – and they are together with us using online media. So we've really beefed up our IT capabilities recently with a number of online meeting vehicles and they're working great. So I think who knows that may be the new way in the world, but that's what we immediately shifted to.
Michael Latimore: Got it. And then just on operating expense. Can you give us some color on how we should think about OpEx progressing through the year relative to the fourth quarter levels?
Stephen Smith: Well, like I – this is Steve. Mike, like I pointed out, we're going to continue to invest in 5G, specifically our engineering for our new product development. So that new product development is going to be split about 50-50 between certifications and actual development of product. And then sales and marketing will be increasing that as well as we put out a larger doable footprint.
Michael Latimore: Got it. And I guess, just last one. Of the 5G wins last year, are there like one or two that really drives incremental revenue in the second half or – of this year or will it be pretty diverse among the wins?
Dan Mondor: Yes. I can comment without getting into specifics. It's actually fairly diverse, which is for us, relative to our missions, a mission accomplished, as you know. So it's fairly diverse. There's a mixture of Tier 1s and Tier 2s in there. I'm not going to get into more specifics, but it's a nice mixture and is really the path forward to diversifying a customer base and diversifying the product base. It's a mix of fixed wireless and mobile. It is what we were aiming to do.
Michael Latimore: Great.
Dan Mondor: I wanted to come back – the question on the sales cycle on this current situation. And I would say this incoming demand, the sales cycle has been zero. So literally that phenomenon is great in this work-at-home environment. And we have the ideal vehicle in the MiFi hotspots for a work-at-home product that is secure high-performance connectivity. You name what you name it. So this has really been frankly in the last couple of weeks and even as of yesterday, incoming demand that's coming to us to determine how much we can supply. So from that point of view something cheap, the sales cycle was zero.
Michael Latimore: That makes sense. Thanks.
Dan Mondor: Thank you, Mike.
Operator: Our next question comes from Matthew Galinko of National Securities. Please go ahead.
Matthew Galinko: Hey, good afternoon, everybody. Thank you for taking my questions. I think it's been a few months, since you launched initially on FirstNet. So I was wondering if you could comment on how that launch went, and your thoughts on that as a channel going forward?
Dan Mondor: Yes. Hi, Mike. Thanks for the question. Honestly, Ashish is here, so maybe you could take that one.
Ashish Sharma: Yes. So yes, I mean look, we've been in the market now and it's ramping up. There's a fair amount of education that goes on with launching into a particular new vertical like FirstNet. So we're going through that education right now with our carrier partner in that market, so far, so good. It does look like a very nice market for us in our backout here, which we will continue to grow in the future.
Matthew Galinko: Got it. Thank you. And then you touched on work from home driving some opportunities I think in the first half of the year. I guess two questions around that before I hand it off. One being, did the issues around device subsidization that we talked about last quarter, changed at all sort of organically as you move through the end of the year and into Q1? And I guess what they did and didn't the pandemic and sort of demand – as a demand driver for some carrier hand to become more accommodative in subsidization?
Dan Mondor: Okay, yes. Thanks, Matthew. I'm not going to comment on subsidization, because it's not really – it's not our commercial action. It's a decision by the carrier to subside on devices and how much they do and what are the terms of their wireless agreements. So all I can say is that what we announced previously is carried forward. I think the information that's come in very recently, possibly could change that dynamic. We are right now focused on quantity of supply, how much and how fast. That's what our focus is, how this incremental demand might change the subsidization equation. That's not really our decision. We supply the product and the carrier does the treat term subsidization.
Matthew Galinko: Got it. Thank you. And one just quick follow-up to that being I guess I'm hoping to get your thoughts on I guess, why is the end user going with your device to – for secure mode access versus traditional VPN or something along those lines? Why wouldn't they be using their traditional last mile connection? Thanks.
Dan Mondor: Yes. Thanks, again. So high performance, high reliability, secure connections and sustained connectivity as well as the robustness of the Wi-Fi part of the product. There's a whole combination of reasons, but it is a premium home office product. Naturally, these are not people that are – these are doing their work from home. So secure connection is very important, depending on the type of work that they're doing. So this is really moving their office to their home, and they want to apply their IT criteria to that environment. Our product fits that criteria. Actually, you do the process of elimination, there's very, very few companies that make that level of a hotspot type of product, Inseego does. That's been our roots in history. Ashish, I guess you could maybe comment on some of the fastest as to why and where for the security capabilities and why they're choosing us?
Ashish Sharma: Yes. I mean to compare to trying to hook on to Wi-Fi networks to do these workflows and our solutions are fully secured on a carrier frequency and with full VPN capabilities. And then in addition to all the reasons that Dan, gave and also, please keep in mind working from home also means for multiple verticals. Its taking connectivity, not just per se in your home, it's remotely, right. Working remotely, and lot of these remote locations, and I'm not going to get specific on the verticals because that's one of our customers to talk about. In a lot of those verticals, there is no other option of connectivity other than hooking to carrier than for us.
Matthew Galinko: Got it. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Mondor for any closing remarks.
Dan Mondor: Thank you. Well, in summary, we've had a tremendous year in 2019, and we're carrying that momentum into 2020. We're very confident in our position to make 2020 the best year in Inseego's history. Thanks again everyone.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.